Operator: Good morning. My name is Denis and I will be your conference Operator today. At this time, I would like to welcome everyone to the Nordson Corporation fourth quarter and fiscal year 2022 conference call.  All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star then the number one on your telephone keypad. To withdraw your question, press star, one again.  I would now like to turn the conference over to Lara Mahoney, Vice President of Investor Relations and Corporate Communications. Please go ahead.
Lara Mahoney: Thank you, good morning. This is Lara Mahoney, Vice President of Investor Relations and Corporate Communications. I’m here with Sundaram Nagarajan, our President and CEO, and Joseph Kelley, Executive Vice President and CFO. We welcome you to our conference call today, Thursday, December 15, 2022 to report Nordson’s fiscal year 2022 fourth quarter and full year results. You can find both our press release as well as our webcast slide presentation that we will refer to during today’s call on our website at www.nordson.com/investors.  This conference call is being broadcast live on our investor website and will be available there for 14 days. There will be a telephone replay of the conference call available until December 29, 2022.  During this conference call, references to non-GAAP financial metrics will be made. A complete reconciliation of these metrics to the most comparable GAAP metrics has been provided in the press release issued yesterday. Before we begin, please refer to Slide 2 of our presentation where we note that certain statements regarding our future performance that are made during this call may be forward-looking based upon Nordson’s current expectations. These statements may involve a number of risks, uncertainties and other factors as discussed in the company’s filings with the Securities and Exchange Commission that could cause actual results to differ. Moving to today’s agenda on Slide 3, Naga will discuss fourth quarter and full year highlights. He will then turn the call over to Joe to review sales and earnings performance for the total company and the three business segments. Joe also will talk about the year-end balance sheet and cash flow. Naga will conclude with a high level commentary about our enterprise performance, including an update on the Ascend strategy as well as our fiscal 2023 first quarter and full year guidance. We will then be happy to take your questions. With that, I’ll turn to Slide 4 and hand the call over to Naga.
Sundaram Nagarajan: Good morning everyone. Thank you for joining Nordson’s fiscal 2022 fourth quarter and full year conference call.  As I reflect on the past few years and in particular 2022, the Nordson team managed through supply chain constraints, inflation at a 40-year high, increasing currency pressures, labor challenges, and COVID-19 shutdowns, and yet we have achieved a second consecutive year of record results in fiscal 2022. I want to thank our incredible employees who have remained focused on our customers and successfully leveraged our NBS Next growth framework to prioritize their time, efforts and resources on the best growth opportunities during the year. We finished 2022 with a strong fourth quarter performance and carry momentum into 2023 related to the holistic deployment of NBS Next and our Ascend strategy. This is critical as we enter 2023. The environment will likely be as full of macro changes and challenges as the last two years.  I’ll speak more to this in a few moments, but I will now turn the call over to Joe to provide more detailed perspectives on our financial results for this quarter and fiscal 2022.
Joe Kelley: Thank you Naga, and good morning to everyone. On Slide No. 5, you’ll see fourth quarter 2022 sales were $684 million, an increase of 14% compared to fourth quarter sales of $599 million. The increase was primarily related to 18% organic growth plus the NDC acquisition, offset by unfavorable currency impacts of 8%.  The 18% organic sales increase was driven by solid 14% volume growth and approximately 4% in pricing as we passed through cost inflation. The growth was in all geographies and most product lines with particularly strong demand in polymer processing, electronics and medical, and headwinds resulted from the U.S. dollar strengthening against the euro, the British pound, the Japanese yen, and the Chinese yuan during the fourth quarter. Early here in fiscal 2023, some of this increased pressure has subsided, moving back closer to the third quarter levels when the year-over-year currency impact on sales was unfavorable 5%. Gross profits increased 10% over the prior year to $363 million or 53% of sales compared to $331 million or 55% of sales in the prior year fourth quarter. The double-digit growth in profit dollars was driven by the strong sales growth while the year-over-year margin decrease of 200 basis points was influenced by several factors. Most significant was the passing through of cost inflation which, while relatively neutral from a gross profit dollar perspective, diluted the margins approximately 140 basis points. Additionally, the significant strengthening of the U.S. dollar pressures the margins of our businesses that have U.S. dollar-denominated manufacturing costs and sell denominated in euros or other foreign currencies. These two factors contributed to the 200 basis point decline in margin percent while delivering a significant 17% constant currency growth in gross profit dollars. Operating profit was $178 million in the quarter or 26% of sales, as 17% increase from the prior year. Strong double-digit organic sales growth at attractive incremental margins more than offset the 10% unfavorable year-over-year currency impact on operating profit. Consolidated Nordson organic incremental operating profit margin inclusive of the currency changes was 43% in the quarter. EBITDA for the fourth quarter was $202 million or 30% of sales.  Looking at non-operating expenses, other net expenses decreased $12 million year-over-year, relatively evenly split between lower non-operating pension costs and increased foreign currency exchange gains. The lower non-operating pension costs are sustainable heading into 2023 while the currency exchange gains resulted from the significant currency fluctuations in the quarter and are not likely to repeat. Tax expense was $36 million for an effective tax rate of 20% in the quarter, slightly below the full year and forecasted rate of 21%.  Net income in the quarter totaled $141 million or $2.44 per share, representing a 28% increase from the prior year earnings. This improvement is reflective of the 14% year-over-year increase in sales and, more importantly, consistent application of the NBS Next growth framework which leads to steady profitable growth with attractive incremental margins. Turning to Slide 6, I will now share a few comments on our full year results.  Sales for fiscal year 2022 were a record $2.6 billion, an increase of 10% compared to the prior year’s record sales result. This change in sales included an organic increase of 11%, a 3% increase primarily from the NDC acquisition. This growth was partially offset by unfavorable currency impacts of 4%.  Also a company record, adjusted operating profit was $707 million or 27% of sales, which reflects a 15% increase over the prior year, or on a constant currency basis growth of 21%. Organic incremental operating profit margins on the year were 55%, which is above the targeted range of 40% to 45%.  Adjusted diluted earnings per share were $9.43, a 22% increase from the prior year, and EBITDA for the full year increased to $807 million or 31% of sales.  Now let’s turn to Slides 7 through 9 to review the fourth quarter 2022 segment performance. Industrial precision solution sales of $356 million increased 13% compared to the prior year fourth quarter. Organic growth in the quarter was 16% and the NDC acquisition added 7%. This growth was offset by an unfavorable currency impact of 10%. Robust demand in the polymer processing product line plus steady growth in industrial coating products and packaging product lines in the food and beverage industry, as well as the industrial end markets, drove this quarter’s results. All major geographies contributed to the quarter’s growth. Operating profit for the quarter was $110 million or 31% of sales, which is an increase of 8% compared to the prior year operating profit of $103 million. This growth was driven primarily by leveraging organic sales growth at incremental margins of 43% plus the benefit of the NDC acquisition. Medical and fluid solution sales of $181 million increased 11% compared to the prior year’s fourth quarter. This change included an increase in organic sales volume of 15% and a 4% decrease related to unfavorable currency impacts. Growth was across all product lines with robust growth in the biopharma fluid component product line. All geographies contributed to this quarter’s growth with particular strength in the Americas. Fourth quarter operating profit was $52 million or 29% of sales, which is an increase of 2% compared to the prior year operating profit of $51 million. This growth was driven by sales volume leverage offset by manufacturing inefficiencies following the third quarter factory consolidation within the fluid dispense division. These challenges should be temporary in nature as the consolidated factory ramps to targeted production levels and efficiency. Turning to Slide 9, we will see advanced technology solution sales of $147 million increased 21% compared to the prior year’s fourth quarter. This change included an increase in organic sales of 28% offset by a 7% decrease related to unfavorable currency impacts. This segment had double digit growth in both the test and inspection and electronics dispense product lines, serving predominantly the semiconductor and electronics end markets. All geographies contributed to this quarter’s growth. Fourth quarter operating profit increased $21 million or 131% from the prior year to $38 million or 26% of sales in the quarter. The growth was driven by sales volume leverage and realization of benefits from cost control measures taken in the prior year. Deployment of our NBS Next growth framework continues to be a key element in the success of this segment delivering profitable growth. Finally turning to the balance sheet and cash flow on Slide 10, through our disciplined approach to capital deployment, we ended the quarter with a strong balance sheet and abundant borrowing capacity. Cash totaled $163 million and net debt was $574 million, resulting in a 0.7 times leverage based on a trailing 12 months EBITDA.  Free cash flow in the quarter was $161 million, which brings the full year 2022 free cash flow total to $462 million or a conversion rate on net income of 90%. This conversion rate was below the normal target of 100% because of strategic investments being made in inventory throughout the year to address supply chain constraints and support the backlog. Dividend payments were $37 million in the quarter, reflective of the 27% increase in the annual dividend that our board approved during the quarter. Also, with the ongoing market volatility, we again capitalized on the opportunistic repurchase of shares within the quarter, bringing the year-to-date total spent in share repurchases to over $260 million at an average repurchase price of $219 per share. For modeling purposes, in fiscal 2023 assume an estimated effective tax rate of 20% to 22% and capital expenditures of approximately $50 million to $55 million, with minimal cash pension contributions given the pension annuitization that took place earlier this year.  In summary, fourth quarter 2022 was a very strong finish to a record fiscal 2022 performance. All three segments contributed both sales growth and operating profit growth in the quarter. Consolidated revenue growth of 14% despite an 8% currency headwind and delivering 43% incremental margins on the organic growth evidences our NBS Next growth framework delivering results. This makes for the second consecutive year of delivering record annual sales and earnings. I’ll now turn the call back to Naga.
Sundaram Nagarajan: Thank you Joe. Again, thank you to the Nordson team for another strong year. I want to re-emphasize Joe’s comments - we achieved record results with all segments contributing to both sales growth and operating profit growth for the quarter and year. That’s quite an accomplishment. Beyond the financial results, I’m very pleased with our steady deployment of the NBS Next growth framework. NBS Next has evolved from an aspiration to a working model within the business. This data driven segmentation framework drives choices, focus and simplification. We now have two divisions that have achieved market leading business performance. They use the framework as a competitive advantage to deliver on time quality products to their top customers, winning the business and growing market share. Leaders from these divisions are now sharing their lessons learned internally by hosting facility tours and teaching at our Nordson accelerated training programs.  Earlier this month, I visited several sites in Europe and I’m excited by the progress I observed. The questions that were asked as well as the progress that was shared during the manufacturing facility tours clearly demonstrates the engagement and adoption of the framework as the way we do business. NBS Next is becoming a competitive advantage for Nordson moving into 2023 and beyond. This new capability combined with the core elements of the Nordson business model has positioned us to deliver results through more challenging economic demand environments.  First among the core elements of Nordson’s business model is the fundamental focus on our customers. Our intimate customer relationships allow us to add value by solving critical customer problems, whether that is enabling their new product ideas or helping them operate more efficiently. This customer partnership has been further strengthened over the past two years as we worked through numerous challenges to consistently deliver quality product. Second is the diversity of our business from both a geographic and end market perspective. For example, in fiscal 2022 we overcame the shutdown of our Shanghai, China IPS facility as a result of our strength in other regions. We also serve a wide variety of end markets including consumer non-durables, medical, electronics, industrial and more. Within these end markets, we are diversified; for example, a quarter of our medical platform is the fluid component solutions used in biopharmaceutical applications, while the remaining is our interventional solutions that includes catheters, cannulas and medical balloons. In addition, our electronics applications are split between dispense applications and more secular test and inspection processes. This diversification makes us largely recession resilient or able to withstand the ebbs and flows of individual end market applications or geographies which may be more cyclical or volatile in any given period.  Finally, the third core element of our business model is the recurring revenue. Over 50% of our sales mix is aftermarket parts and consumables, which has been proven to sustain our business even in down periods. These core elements position our base business to perform well during periods of economic uncertainty. In addition, the execution of a disciplined M&A strategy continues to strengthen our position technology platforms.  The NDC measurement and control division which we acquired in November of 2021 is integrating well and contributed nicely to the fiscal 2022 performance. Recently we closed the CyberOptics acquisition which expands our applications in the optical test and inspection end market. We are excited about the opportunities we see in that space. Turning now to the outlook on Slide 12, we enter fiscal 2023 with approximately $1 billion in backlog, inclusive of the acquired CyberOptics backlog. The book-to-bill in the fourth quarter of 2022 was slightly unfavorable and the year-over-year currency headwinds are significant, as evidenced in our fiscal fourth quarter results. Based on the combination of order entry, backlog, customer delivery timing requests and current foreign currency exchange rates, we anticipate delivering sales growth in the range of 1% to 7% above the record fiscal 2022. This includes an estimated 2% currency headwind. Full year earnings are forecasted in the range of $8.75 to $10.10 per share. This full-year guidance assumes an unfavorable currency impact of approximately 3% on the earnings, the increased interest rate environment, and contemplates some demand uncertainty related to the back half of 2023.  As you will see on Slide 13, the first quarter 2023 sales are forecasted in the range of $605 million to $630 million and adjusted earnings in the range of $1.85 to $2 per diluted share. Included in the forecasted guidance are the unfavorable currency impacts of approximately 4% on sales and 7% on earnings.  Again, I want to thank our employees, customers and shareholders for your continued support. We will now open the phone lines for questions. 
Operator: [Operator instructions] Your first question is from the line of Matt Summerville with DA Davidson. Please go ahead.
Matt Summerville: Thanks. A couple questions. First Naga and Joe, can you maybe talk about the order cadence you saw over the course of fiscal Q4 and what you’ve seen thus far in the fiscal ’23? Maybe talk about some of the pluses and minuses you’re seeing across the business and how that informs your view on what you’re calling a bit of an uncertain second half in the fiscal year, and then I have a follow-up.
Sundaram Nagarajan: Yes, thank you Matt. A couple of things. Let’s go by our major end markets. If you think about ATS, the backlog is pretty strong going into Q1 and first half. For the full year, we expect single digit organic growth for the year. Both T&I--you know, both our test and inspection and our dispense business are expected to grow in the year. If you look at our industrial business, or IPS, end markets remain solid. A couple of our system businesses are expected to deliver and are expected to grow double digits, while our consumer non-durables are expected to sustain their current record levels. If you think about MFS, our forecast is again this segment is also expected to grow in single digits. What you see is our interventional components, the medical fluid components, if you think about the interventional side, which is our balloons and catheters, this business is returning back to pre-COVID levels of high single digit growth. Our fluid components, which is approximately 20% of this business, had a great two years of double-digit growth, and what we understand, and we watch this end market with some caution as some of our customers have built up some excess inventory, but important to remember this is 20% of our MFS segment. Hopefully that gives you some color, and this is what is embedded in our guidance for the quarter and the year.
Joe Kelley: Maybe Matt, I would just add--
Matt Summerville: I appreciate--sure?
Joe Kelley: Yes, I’d just add, as we said, as it trended throughout the year, we saw strong performance in ’21, ’22 - most of the quarters, we were running with a favorable book to bill, and in Q4 some of that started to moderate. The book to bill was slightly unfavorable. 
Matt Summerville: Understood. Maybe if you can just comment a little bit more on M&A, and even CyberOptics - you know, what are you incorporating into the guide as it relates to EPS accretion from CyberOptics, and what are you seeing looking forward in terms of actionability within your current M&A pipeline? Thank you. 
Joe Kelley: Maybe Naga, I’ll handle the first part of that and you can take the second.  As it relates to CyberOptics, we are very pleased, everything is on track. Just a reminder, it’s about a $100 million business, we’re integrating it into our test and inspection division. We paid about 18.5 times EBITDA and as we execute synergies over the next year or so, we’re going to take that to roughly 14.5 times EBITDA. Everything that we’ve got in CyberOptics is what we expected and we’re very pleased with it, and that’s--. As it relates specifically to our guidance, what it will be, when you look at our full year guidance, the assumption is that that is slightly accretive for the full year.
Sundaram Nagarajan: Joe, let me take the question around our acquisition pipeline. Maybe just as a reminder, Matt, we have clear strategic and financial criteria when we look at acquisition ideas and when we consummate deals, and just as a reminder, the strategic criteria really are we’re looking for differentiated position technologies, we are looking for businesses that serve markets with high growth rates, certainly looking for businesses that have a customer-centric business model. On the financial side, we certainly look for businesses that have attractive growth rates and with Nordson-like gross margins, EBITDA margins around 20% with a clear path with expansion opportunities and an ROIC that is ahead of our cost of capital in five to seven years. That’s really sort of our--that’s what informs what deals we pursue and what we consummate finally.  Our focus still remains on scaling our medical and test and inspection platforms. We certainly will look at adjacent position technologies if they meet our strategic and financial criteria.  Having provided you that background, our pipeline is pretty healthy. We are pursuing a number of different opportunities. Certainly we’ll act on them thoughtfully based on our strategic and financial criteria - that’s really important to remember.  We are confident in our ability to deliver on $500 million of acquisitions, which is an important part of us reaching the $3 billion target we set for ourselves in 2021. Again, another reminder, we have acquired about $210 million worth of acquisitions towards that $500 million already, right - we did NDC, CyberOptics and Fluortek, and all of that gives us about $210 million. One other thing I would comment, through what we have done thus far, we have now been opened to many types of deals - for example, CyberOptics was a public company deal, NDC was a carve-out from a public company in Europe, so we feel good about our pipeline. We will remain strategically and financially diligent and disciplined.
Matt Summerville: Thank you.
Operator: Your next question is from the line of Mike Halloran with Baird. Please go ahead.
Mike Halloran: Hey, good morning everyone. 
Sundaram Nagarajan: Good morning.
Joe Kelley: Morning Mike.
Mike Halloran: Maybe help me understand some of the comments you had about the seasonality through the year. Obviously the first answer to Matt’s question was very helpful as far as how you’re thinking about the various moving pieces and orders trends; but Naga, you highlighted that the guidance assumes uncertainty around what the second half looked like, so maybe you could talk a little bit about what the seasonal assumptions look like, how the front half compares and the back half compared to what normal seasonality looks like, and what’s behind the uncertainty that you’ve got embedded in the back half. I’m not saying it’s not prudent, I just want to make sure I understand where you guys are coming from.
Joe Kelley: Sure, maybe again, Naga, I’ll take the front half of that. Mike, if you think about our full year guide, basically the midpoint is 4% sales growth and flat earnings on the full year. The simple way to think about this is acquisitions are roughly 4%, so the organic growth is probably 2% to 3%, and this is offset by our assumption around unfavorable currency impacts. The organic growth is coming in at incremental margins of 40% to 45%. The CyberOptics acquisition, as I mentioned before, is slightly accretive, but what’s embedded in the earnings guidance is there’s a currency headwind of about 3%, so when you think about 1% in sales of currency headwind, it translates to roughly 1.3 to 1.5 headwind on the earnings line. Interest expense is driving an increase given the change in interest rates, plus this year we did benefit from some foreign currency hedge gains, so those are not forecasted to repeat, so that’s about a $0.20 headwind or 2% headwind to earnings. That’s the full year, kind of what we’re thinking about. To your question on timing, we feel pretty good about our visibility into the first half of the year. We’re entering with a billion-dollar backlog, so we see organic growth in the first half of the year of about 4% to 5% - this is following two consecutive years of double-digit organic growth. But when we look at the second half, our guidance assumes that the organic growth is actually relatively flat at the midpoint, and so--and that’s just given our visibility. We have good visibility to the first half, I would tell you, given some of our backlog in systems orders, and limited visibility to the second half.  When you think about the first half, it’s actually not evenly split between Q1 and Q2. Your have Chinese New Year last year fell in Q2; this year, it falls into Q1, plus as you know, our systems business has grown nicely and so with that backlog, when we look at the scheduled customer system delivery dates, Q2 will be much stronger than Q3. That’s kind of how we’re thinking about it. When you think about FX, the FX headwind is going to be heavier in Q1 and Q2 at about 4% to 5% unfavorable on sales, where that will moderate to be relatively neutral in the back half provided we stay at forecasted exchange rates.  Hopefully that helps.
Mike Halloran: No, that was great. To paraphrase quickly, first quarter you’ve got some headwinds, second quarter you feel really good about the delivery schedule you see based on the backlog, but maybe some expectations for orders to be somewhat soft, you’re just not sure what the environment look like, so the back half then, you’ve got maybe below normal seasonality 2Q to 3Q and we’ll just see how it plays out as we get closer to that date. Is that a fair, very quick interpretation?
Joe Kelley: That’s a fair interpretation, yes. The FX is a heavier impact in the first half then the second half, just given the way exchange rates have moved. That’s a fair interpretation.
Mike Halloran: Thanks for that. Then the second and related piece is on the medical piece, you mentioned the inefficiencies. Could you maybe just help bucket out what kind of an impact that was in the quarter and then when you think the timing of that could get back towards what you think the more normal run rate for margins are in that segment?
Joe Kelley: Yes Mike, so the reference there is to our MFS segment, which saw--you know, in the quarter had nice 15% growth and the operating profit grew, but it was negatively impacted, I would tell you, by approximately probably $5 million due to some manufacturing inefficiencies. This again was tied to the consolidation of the factories Q3, and so as we look into 2023, that factory as it ramps up to targeted efficiency levels and production levels, that will start to mitigate as we move throughout, I would tell you, the first half of ’23.
Mike Halloran: Great. Really appreciate the color, that was helpful. Thanks everyone. 
Sundaram Nagarajan: Thank you Mike.
Operator: Your next question is from the line of Allison Poliniak with Wells Fargo. Please go ahead.
Allison Poliniak: Hi, good morning. Naga and Joe, I want to go back to your comments around the moderating book to bill here. I know lead times have been extended on the order side. Are we seeing some normalization that’s driving some of that as well, or are you seeing specific volatility in certain end markets or geographies? Just any thoughts there.
Sundaram Nagarajan: Yes, if you think about our Q4 contribution and the full year contribution, it was fairly broad-based, all our business lines across all the three segments, and the same can be said for our geographies, so historic two years [indiscernible] organic growth going into [indiscernible].  As Joe said, we have good backlog, and we talked about by those different end markets, so in general we feel very strongly about first half, we have good visibility. I think second half, the best way I would tell you is our assumptions are it is a flat kind of organic growth, is really what we are assuming. Remember, this is flat on historic revenues in second half of 2022.
Allison Poliniak: That’s helpful. Then I know you talked about some timing of deliveries, you know, Q1 versus Q2, but was there any timing deliveries maybe that shifted into Q4 that could have been Q1? I know organic was maybe quite a bit stronger than we had anticipated. Just any thoughts there, thanks. 
Joe Kelley: Yes Allison, I would tell you Q4, particularly on the systems side, came in stronger than anticipated, and so there was a portion of that which you could contribute to timing, perhaps getting pulled into Q4 as opposed to Q1, so that does contribute a little bit to our guidance in Q1.
Allison Poliniak: Thank you.
Operator: Your next question is from the line of Jeff Hammond from Keybanc Capital Markets. Please go ahead.
Jeff Hammond: Hey, good morning guys. 
Sundaram Nagarajan: Good morning.
Jeff Hammond: Just on advanced tech, it sounds like great finish to the year, kind of in line-ish growth versus the rest. I’m just wondering if you can parse out momentum in test and inspection versus electronics. Any softness around--you know, emerging softness around the consumer-related portions of your business or any of this China regulation noise, either on the core or on CyberOptics?
Sundaram Nagarajan: Yes, I think the way to think about this, our test and inspection business continues to have strong momentum coming into the year, and as we can see it, we feel good about our test and inspection business. We do see some moderation or book to bill that is unfavorable in our dispense side of the business, which has a portion of it is consumer-related, not all of it, because there is still semiconductor. But overall, we feel good that both these product lines will grow in the year and ATS as a segment would have single digit growth in the year, so feel good about that. First half, really good visibility, second half is a flattish kind of assumption. In terms of China regulation, Jeff, is one of the questions you asked, we don’t see any significant impact that we know of today, so we don’t really see that.  I know you had another piece there, Jeff, that I may have missed, if I didn’t answer all of yours.
Jeff Hammond: No, I think that covers it. Then just on the guide, maybe it’s around macro uncertainty but the range is pretty wide, and maybe outside of the sales range, what are some of the other moving pieces that will inform maybe the wider range, and then if you can just give us an interest expense number so we can kind of fine-tune how to think about the increase there, that’d be great. Thanks.
Joe Kelley: Yes Jeff, maybe I’ll take the interest expense first. I would think about that going from roughly $20 million to $40 million based on the interest rate movements and our average powering balances ’22 to ’23. As it relates to our guide in terms of the sales range, again I just would go back and share that we have pretty good visibility into Q1 and Q2, and so the first half, the organic growth for the first half is 4% to 5%. You can think about acquisitions as a 4% favorable, and then FX is 4% to 5% unfavorable in the first half. When we go to the back half, it’s really relatively flat - organic sales 4%, acquisition, and then FX starts to moderate and is maybe flat to negative 1%.  Then as it relates to the range, I would tell you that--you know, appreciate roughly 50% systems and 50% parts and consumables, and we have pretty good visibility on the systems side. The parts and consumables again is a shorter book and ship time frame, and so we’re just looking at our order entry and monitoring that and being--you know, putting a range particularly on the back half, and so as you see our Q1 guidance is relatively tight and, to your point on the earnings, the interest expense will be a headwind to earnings in Q1 particularly.
Jeff Hammond: Okay, thanks so much.
Operator: Your next question is from the line of Connor Lynagh with Morgan Stanley. Please go ahead.
Connor Lynagh: Yes, thanks. A similar line of questioning here. Basically, can you help us think through how much price you’re carrying into next year, and then how much visibility you have on that and how much you’re thinking about upside-downside on that, and sort of similar question on volume.
Joe Kelley: Yes, so if you think about it, our price, we exited Q4 with roughly 4% realization in price, so as you can appreciate, that impact grew throughout 2022 as we realized inflation and then we took pricing actions to pass that inflation through. As a reminder, our stated strategy was to pass through the inflation, not the inflation plus 55% gross margins, and we were effective on that. It had a diluted impact on the percentage but we were effective. To your point, we’re carrying into Q1, so part of the first half growth, organic growth of 4% to 5%, you can probably think about that as roughly split - half would be pricing given the timing of price realization last year, and half of that would be volume. Then as you can appreciate, as you get then to the back half of next year, the pricing impact on a year-over-year basis will be less simply because we had realized more throughout the year as we experienced the inflation. All that said, we clearly remain in a dynamic environment and responsive. As the cost pressures and inflation change throughout the year, we will be responsive, and again we’re targeting and we’ve been successful in maintaining incremental operating profit margins of 40% to 45% on the organic growth - we delivered that in Q3 at 43, we delivered that for the full year at 55%, which was actually ahead of our target, so that’s how we think about it and, to your point, we’ll continue to manage that.
Sundaram Nagarajan: One thing to add to our pricing effectiveness, there are a couple of things to remember. The gross margins are over 50%, right, that is because we create value for our customers, and this value allows us to get paid for any cost increases that we have, so we’ve been very prudent in managing the cost increases. But you’ve got to remember, we create value and we get paid for it. The second thing I would tell you, from our customers’ point of view, our cost structure in their total cost stack is a fairly small number, so we are a low cost component creating incredible value and critical value, and that allows us to continue to be effective along price increases. But you know, we certainly want to protect our customer relationships and we’re being prudent, and that’s what you’re going to see us do in this environment that we are experiencing.
Connor Lynagh: Yes, understood. Thank you for the context there.  Just thinking through the guidance range, maybe just a little bit of a clarifying point, are you--when you think about the high end versus the low end, are there certain end markets that you are risking higher or lower? You made the comment earlier about the systems versus components, but can you just sort of clarify if there is specific markets that you’re particularly watching in driving that wide range or is it just the broad economic uncertainty?
Sundaram Nagarajan: I think the way to think about our range is that, first as Joe indicated and reiterated, we are very comfortable because of the visibility we have and because of the system orders we have. There is a split between the first quarter and the second quarter given Chinese New Year timing as well as systems shipments. But second half, Connor, we are assuming flattish growth on some very historic record revenue levels that we were running in ’22. We expect all of our segments to grow in the year, albeit single digits, so. The two end markets we are watching that we’ve talked about is our biopharma fluid components, which is 20% of our MFS segment, it’s a small part of our MFS segment. That is where we have customer inventory is fairly high, from what we understand, so we’ll watch that one. The other one that I indicated was our dispense business in the ATS segment, which has had some incredible growth here in the past two years. What you see--you know, coming into the quarter, there was some unfavorable book to bill trends there, so we’re watching that, so those would be the two we would be watching. Our industrial businesses seem to be remaining pretty solid, our system industrial businesses are actually growing very nicely. Our medical business is back to pre-COVID levels, which is our medical interventional business, I should say, so. Hopefully that gives you some more color.
Connor Lynagh: It does, thank you very much.
Operator: Once again, if you would like to ask a question, simply press star then the number one on your telephone keypad. Your next question is from the line of Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn: Thanks, good morning guys. 
Sundaram Nagarajan: Good morning.
Joe Kelley: Good morning.
Christopher Glynn: I have a question. Was interested to hear the call-out on the polymer product lines. I don’t recall if that got a call-out in recent quarters, but curious if you’re seeing some emerging vibrancy in those markets or kind of a recap trend.
Sundaram Nagarajan: Yes, I think that is a business--if you remember, a number of years, a few years ago, we had exited our [indiscernible] barrels business but we kept some parts of the business that we really liked which had some long term trends, and so--and certainly we’ve had to address a number of cost structure issues in that business over the period of time. I have a great leadership team that’s taken us through that and has positioned the business to go after the best growth opportunities there, and so all that work has resulted in a pretty nice growth rate.  Again, this is a business that we liked. There were parts of the business we liked and there were parts we did not like, but I think we’re in a place where this is a good business and it is growing nicely for us. I wouldn’t say this is our biggest strategic part of the company [indiscernible] medical growth and test and inspection growth, but it is a solid part of our portfolio. We really appreciate what the team has done in this part of the business to really reposition the business, and now it is growing.
Christopher Glynn: Okay. Is there any different appetite or healthier trends in the end markets?
Sundaram Nagarajan: I would say a couple of things. There is certainly this whole trend around recycling, it’s a trend that is certainly benefiting this business. What we also see is in some parts of the business, there is some specialty film that is used in EV battery manufacturing that they have a pretty good customer base.  Again, these are all small opportunities, Chris. I don’t want to make it to be significant, but it really has pretty nice momentum in these two areas and the team is doing--and there is some bio plastic materials also that the team is working on, so. Again, singles and doubles is the way you want to think about [indiscernible]. I think the bigger takeaway should be the company is, you know, with some incredible leadership from our teams, reposition [indiscernible] better place and growing.
Christopher Glynn: Thank you. On ATS--or in MFS, rather, I wanted to look at the non-medical side. I think it’s basically EFD, something over a couple hundred million. Just want to remind what the customers and applications are there, the cyclicality and how that’s positioned. 
Sundaram Nagarajan: Yes, that business is--you know, it’s actually one of our most diversified applications. Quite frankly, [indiscernible] fluid dispensing applications to electronics dispensing applications to life sciences. That business wins with applications, so it’s pretty diversified. [Indiscernible] GDP kind of growth is what it typically does, maybe a little bit more if the electronics cycle is going strong for them. It’s a good business but a growing part of it is also life sciences.
Christopher Glynn: Thank you.
Operator: This does conclude the Q&A session of today’s call. I will now turn the call back over to Naga for any closing comments.
Sundaram Nagarajan: Thank you for your time and attention on today’s call. Our core capabilities combined with the NBS Next growth framework positions us well for a dynamic environment. This was evidenced in 2022 and we expect it to position us well for fiscal 2023 as well. We remain focused on achieving our long term objective of delivering top tier revenue growth with leading margins and returns.  We wish you a happy holiday season. 
Operator: This concludes the Nordson Corporation fourth quarter and fiscal year 2022 conference call. Thank you all for joining. You may now disconnect.